Operator: Ladies and gentlemen, thank you for standing by. Welcome to Triumph Group Conference Call to discuss our fiscal year 2013 fourth quarter results. This call is being carried live on the Internet. There is also a slide presentation included with the audio portion of the webcast. [Operator Instructions] On behalf of the company, I would now like to read the following statement. Certain statements on this call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risk, uncertainties and other factors, which may cause Triumph's actual results, performance or achievements to be materially different from any expected future results, performance or achievements expressed or implied in the forward-looking statements. Please note that the company's reconciliation of non-GAAP financial measures to comparable GAAP measures is included in the press release, which can be found on their website at www.triumphgroup.com. In addition, please note that this call is the property of Triumph Group Inc. and may not be recorded, transcribed or rebroadcast without explicit written approval. At this time, I would like to introduce Jeffry Frisby, the company's President and Chief Executive Officer; and David Kornblatt, Chief Financial Officer and Executive Vice President of Triumph Group Inc. Go ahead, Mr. Frisby.
Jeffry D. Frisby: Thank you, and good morning, everyone. I want to add my welcome to Triumph Group's fiscal year '13 fourth quarter and year-end call, and I also remind you that there is a slide presentation that you can follow with the company's audio portion of this call. We'll go ahead and jump right into the slide deck and talk about Q4 and fiscal year 2013 in review. Dave will provide a lot more detail, but at a high level, we had a very successful quarter and fiscal year. We reported record revenue and earnings for the quarter and the fiscal year. We reported year-over-year operating margin expansion across all 3 of the business segments for the year. Our integration of Aerostructures continues to progress well and we are still on plan to deliver the synergy target of $50 million per year run rate by June of this year. We had significant growth in Aerospace Systems revenue and operating margin, certainly helped by the new acquisitions that we made in that segment. We have record revenue growth and operating margin in Aftermarket Services. This was due to both share gain and improved operating performance. And the last bullet, but certainly a very important one, was our record cash flow generation. Dave will cover more in detail. We continue to proactively and effectively manage our pension obligation, which we still believe is an important thing for us to do to manage the risk that is included in that. The construction of the Red Oak facility is on budget and on time, and we'll continue to provide updates on this issue since it is an important part of our future plans. And finally, we end up, we have a strong balance sheet. This year, we issued new high-yield bonds at 4.785%. We extended our accounts receivable securitization program until 2016 and we reduced our debt by $181 million. On the next slide, we successfully completed the acquisition of Triumph Processing Embee Division and Triumph Engine Control Systems. These 2 companies provide us new capabilities and better balance within our business as we discussed in our February Investor Day. They both also position us well for future growth. Additionally, we completed the sale of our non-core Aftermarket Services instruments companies in early April. Dave will now provide some additional color on Q4 FY '13, after which I will return to discuss our future outlook. Dave?
M. David Kornblatt: Thank you, Jeff, and good morning, everyone. Before I start with the numbers, you should have already noticed that we included in the press release a couple of tables which reconcile some of the special nonrecurring items in the quarter and the fiscal year. While the actions we took this year will make us a better and stronger company in the future, they created significant expense, mostly non-cash and noise in the quarter and in the year. Our intention in adding the tables was to highlight and clarify the impact of the cost related to the integration, curtailment, pension remeasurement, early-retirement incentives and the Jefferson Street move, as well as the deal costs related to the acquisition of Triumph Engine Control Systems. All of these items we have previously highlighted as likely items in Q4. Turning to the income statement. Sales for the fourth quarter were $986.3 million compared to $946.4 million for the prior year period, an increase of 4%. Organic sales growth for the quarter was 2%. Operating income was $113 million versus $183 million for the fourth quarter of the prior fiscal year. Included in operating income for the quarter was approximately $36 million of onetime costs. The breakdown of these nonrecurring costs is detailed on the next slide for your reference, as well as in the press release. Excluding these items, operating margin was 15.1% for the quarter. The prior year's quarter included approximately $2.6 million of integration expenses related to the Vought acquisition and the $40.4 million net curtailment gain. Excluding these items, operating margin was 15.4% for the prior year's fourth quarter. Income from continuing operations was $65.6 million resulting in earnings per share from continuing operations of $1.24 per diluted share versus $2.03 per diluted share for the prior year quarter. Excluding the nonrecurring costs for both periods, income from continuing operations was $88.8 million or $1.68 per diluted share versus $1.57 per diluted share for the prior year's quarter. EBITDA excluding curtailments and early-retirement incentives totaling $29.3 million was $169.8 million, resulting in a 17.2 percentage adjusted EBITDA margin. The number of shares used in computing diluted earnings per share for the quarter increased to 52.7 million shares, primarily due to the dilutive effect of the company's convertible notes. Turning now to our full fiscal year results. Sales for the fiscal year increased 9% to $3.703 billion compared to $3.408 billion for the prior year. Operating income was $531.2 million versus $514.7 million for the prior fiscal year. Included in operating income for the fiscal year was $44.2 million of onetime cost. The breakdown of these nonrecurring costs is detailed on the next slide for your reference, as well as in the press release. Excluding these items, operating margin was 15.5% for the fiscal year. The prior fiscal year included approximately $6.3 million of integration expenses related to the Vought acquisition and the $40.4 million net curtailment gain. Excluding these items, operating margin was 14.1% for the prior fiscal year. Income from continuing operations was $297.3 million, resulting in earnings per share from continuing operations of $5.67 per diluted share versus $5.43 per diluted share for the prior year. Excluding the nonrecurring cost for both periods, income from continuing operations was $325.9 million or $6.21 per diluted share versus $5.01 per diluted share for the prior fiscal year. EBITDA excluding curtailments, early-retirement incentives totaling $34.5 million was $669.6 million resulting in an 18.1% adjusted EBITDA margin. The number of shares used in computing diluted earnings per share for the fiscal year was 52.4 million shares. Looking now at our segment performance. Sales in the Aerostructures segment for the fourth quarter increased 1% to $720.7 million. Fourth quarter operating income was $110.9 million and included a net unfavorable cumulative catch-up adjustment on long-term contracts of $10.2 million, primarily related into the 747-8 program. The segment's operating margin for the quarter was 15.4%. The segment's operating results and cumulative cash up adjustment included nonrecurring charges of $1.8 million for pension remeasurement and $1.4 million related to the Jefferson Street Move, as well as $1 million for early-retirement cash incentives. EBITDA for the quarter was $129 million and an EBITDA margin of 17.9%. To the fiscal year, sales for the segment increased 8% to $2.781 billion versus $2.572 billion in the prior year. Operating income increased 16% over the prior year to $469.9 million, with an operating margin of 16.9%. EBITDA for the fiscal year was $540.3 million and an EBITDA margin of 19.4%. With regard to SAP, we continue to make progress towards stabilization and productivity. However, we do not yet see a path to short-term financial returns. In our Aerospace Systems segment, sales for the fourth quarter increased 21% to $184.1 million, of which $20.9 million were attributable to Embee and Triumph Engine Control Systems. Fourth quarter operating income increased 27% over the prior year to $33.4 million with an operating margin of 18.2%. EBITDA for the quarter was $39.5 million and an EBITDA margin of 21.4%. For the fiscal year, sales for this segment increased 12% to $615.8 million versus $551.8 million in the prior year. Operating income increased 15% over the prior year to $103.2 million with an operating margin of 16.8%. EBITDA for the fiscal year was $122.9 million and an EBITDA margin of 20%. The segment's operating results included $1.3 million of legal cost associated with the ongoing trade secret litigation for the quarter and $4.8 million for the fiscal year, as well as approximately $900,000 of cost associated with Hurricane Sandy for the quarter and $1.6 million for the fiscal year. As Jeff commented, both acquisitions are progressing well. As in prior quarters, we thought we would offer a brief note on the status of the previously disclosed trade secret litigation with Eaton. The dismissal of all of Eaton's claims against us remains on appeal before the Mississippi Supreme Court and we continue to prosecute our counterclaims against Eaton before the state trial court in Mississippi. The state trial court has set trial on the counterclaims to begin on November 4, 2013, and discovery and pretrial practice are under way. Our antitrust claims also remain pending in North Carolina. To anyone who wants to know more, we commend you to the documents filed in the public record and prefer to let those documents speak for themselves. Our Aftermarket Services segment showed continued growth in the fourth quarter, reporting record sales of $83.9 million. Fourth quarter operating income increased a strong 18% over the prior year to $13 million with a record operating margin of 15.4%. EBITDA per quarter was $15.2 million and an EBITDA margin of 18.1%. For fiscal year, sales for the segment increased 7% to $314.5 million versus $292.7 million in the prior year. Operating income increased 42% over the prior year to $45.4 million with an operating margin of 14.4%. EBITDA for the fiscal year was $54.5 million, and an EBITDA margin of 17.3%. The segment's fourth quarter operating results included a net loss on assets held for sale of $800,000, which was primarily attributable to the sale of our instruments companies, which we determine to be non-core. Our overall results are particularly good, taking into account the ramp up of our large recent wins and the relocation of our Phoenix-based APU operation, which was executed in a seamless and professional manner. The next slide is a pension/OPEB analysis for Triumph Aerostructures for your reference. As you can see the table summarizes the pension and OPEB P&L impact, as well as the cash contributions for fiscal years '13, '14 and '15. The fiscal '15 amounts assume that all fiscal '14 actuarial assumptions are met. You will see that we expect these and funding reductions in fiscal year '15. As we have previously discussed, the rules for recognizing asset returns in excess of actuarial assumptions and the rules on actuarial losses due to discount rate decreases are not in symmetry. As expected, our fiscal 2014 pension income is less than what we previously estimated. Under our accounting method for Aerostructures, $1.8 million of this fiscal 2014 unfavorable item was booked in the quarter and highlighted as a nonrecurring item. With regard to our pension liability at March 31, 2013, our net underfunding was essentially unchanged since the beginning of the year, which in the face of discount rate reductions is quite an accomplishment and one that we are proud of. Looking at the components, our gross liability has increased $148 million, which is almost entirely due to the drop in discount rates. On the asset side, the combination of large contribution and excellent asset returns allowed us to offset the increase in the liability. Lastly, as we previously mentioned, one of our major actions related to the Vought synergies is the upcoming closure of a portion of the Dallas facility and that created a noncash pension curtailment in the fourth quarter of $23.7 million. This was included on the corporate line of the face of the income statement, and not in the operating income or EBITDA of our Aerostructures segment. The curtailment loss is related to the UAW early-retirement windows offered to certain eligible employees and the pending closure of our fabrications operations at Jefferson Street. The loss was due to the realization of early-retirement subsidies and the accelerated recognition of a portion of the unrecognized prior service costs. Turning now to backlog. Our backlog takes into consideration only those firm orders that we're going to deliver over the next 24 months and primarily reflects future sales within our Aerostructures and Aerospace Systems group. The Aftermarket Services group does not have a substantial backlog. Our order backlog as of year-end was $4.53 billion, up 5% from the prior year. You will notice that our backlog is substantially higher than what we had previously presented. During Q4, we detected an inadvertent error in how one portion of our 24-month backlog was being reported. We have estimated the similar impact at 3/31/12. Military represented approximately 27% of our total backlog. Our backlog would've been down slightly were it not for the acquisition of Triumph Engine Control Systems. Our top 10 programs listed on the next slide are ranked according to backlog. In first place was the Boeing 747, followed by the Gulfstream G450 and 550 in second place. In third place was the Boeing 777, followed by the 787. In fifth place was the Boeing 737 Next-Generation, with the Airbus A330 in sixth place. Seventh was the C-17 freighter and in eighth place was the Osprey combat helicopter. The Boeing 767 tanker program was ninth and in tenth place was the UH-60 Black Hawk helicopter. Looking at overall sales, Boeing remains our only customer which exceeded 10% of our revenue. Net sales to Boeing commercial military and space totaled 49.4% of revenue and is broken down 73% commercial and 27% military. Looking at our sales mix among end market, the next slide shows that compared to fiscal '12, commercial aerospace sales increased by 20% to $2.114 billion, representing 57% of our sales. Military sales of $1.027 billion decreased 6% year-over-year and represented 28% of total sales. Business jets increased 6% to $451 million and represented 12% of sales, while regional jets remained unchanged at 1%. Nonaviation accounted for 2%. Finishing our sales analysis, the next slide shows our sales trends for the quarter and the fiscal year. Total organic sales for the quarter increased 2% from the prior year to $967.7 million. Breaking that down by segment, all of the Aerostructures and Aftermarket Services segment sales for the fourth quarter were organic. The Aerospace Systems segment same-store sales for the quarter grew 8%. With respect to the fiscal year, total organic sales increased 8% over the prior year. Breaking that down by segment, all the Aerostructures segment sales for fiscal year were organic, same-store sales for the fiscal year for Aerospace Systems was $593.6 million compared to $551.8 million, an 8% increase. The Aftermarket Services same-store sales for the fiscal year grew 5%. Export sales for the fourth quarter increased 12% to $137.2 million, and for the year increased 9% to $504.1 million. Turning to the balance sheet in the next slide. For the year, we generated $453.2 million of cash flow from operations before Triumph Aerostructures pension contribution of $109.8 million. After these contributions, cash flow from operations was $343 million. We are pleased with our cash flow for the year. Inventory for the year increased $168 million, which approximately $52 million was attributable to the investment in the Bombardier wing, $40 million attributable to reduced customer advances and $40 million for the fiscal '13 acquisitions. We remain focused on improving our inventory management. CapEx in the quarter was $53.1 million and $142.8 million for the year, of which $24 million was for Bombardier and $18 million was attributable to the Jefferson Street relocation. Net debt at the end of the year was $1.298 billion versus $1.129 billion at the end of the prior year, representing 38.8% of total capital. Excluding acquisitions, we reduced our debt by approximately $181 million. We remain on track to equal or exceed our debt reduction target of $700 million in fiscal year '14 through '16. During the quarter, we issued new bonds at sub-5% rate and also extended our accounts receivables securitization program until 2016. In Q1 of fiscal '14, we have seen some large push of our convertible notes totaling $65 million, which we will finance via our revolving credit facility. The global effective tax rate for the year for income from continuing operations was 35.8% and reflects 15 months of R&D tax credit. From a cash-tax perspective, we expect to pay virtually no cash tax for fiscal '13. We expect minimal cash tax to be paid in '14 and expect to be increasing to mid-teen cash tax rate in fiscal '15. As you saw in the press release, there are a lot of moving pieces for fiscal '14. In terms of financial guidance, a few specific comments: Our guidance for fiscal '16, we presented at our Investor Day remains intact. Fiscal '14, there's a large expense associated with the Jefferson Street move and as presented at Investor Day, turned slightly positive in '15, but in fiscal '16 produce a substantial savings. The construction of the new facility of Red Oak is jet set is on budget and on time and we expect to be in a position to exit the Jefferson Street facility in the first quarter of our fiscal '15. Fiscal '14 has a large hole in it associated with the 767's move from commercial to tanker freighter. This includes an almost 50% reduction in deliveries that will happen in Q2 through Q4. That reduction will not only create a loss of revenue and profit but also will impact our cost and factories where 767 have a substantial part of the work. The good news is that with the freighter and tanker orders, we believe this could be largely an anomaly for '14 only. We are seeing the expected reduction in military programs. We have one new content on many of these programs, but in most cases, we will feel the pain of the drops before those new programs start up. Our interest expense is higher, reflecting the Q4 high-yield issuance. In terms of revenue, we have agreed to certain price concessions with our customers. It is our goal that we will be able to protect our margins even at lower sale prices. Our guidance does reflect an estimate for the impact of the Boeing reduction in build rates to 1.75 per month on the 747. As of today, we do not know precisely when that will impact us. Regarding the quarterly flow of earnings, we currently see the first and second half of fiscal '14 being fairly comparable with quarters 2 and 4 being the strongest. This is of course our current view and subject to change as the year progresses. While we are not aware of how the analysts arrived at their estimates for fiscal '14, we expect that the reduction in 67, 47, and the pension change confident great majority of the difference. With that, I'll turn it back over to Jeff.
Jeffry D. Frisby: Thanks, Dave. I'll spend a couple of minutes now and talk about our fiscal 2014 outlook. As Dave pointed out, our backlog remains strong. It's over $4.5 billion now. We will in fact remain focused on improving execution, driving integration and controlling cost and I'll come back to that again in a minute. We will continue our strong cash flow generation as has been our practice. And our fiscal year 2014 guidance is revenue of $3.8 billion to $4 billion, and earnings per share from continuing operations excluding Jefferson Street relocation cost of $6.30 to $6.40 per share. This guidance is based on a reduction in the 767 and 747-8. Now the 767 reduction that Dave described, we covered this in fiscal year '14 specific issue in February's Investor Day. And the 747-8 reduction includes the recently announced rate reduction, although, also as Dave pointed out, the cut-end point is not crystal clear yet. Additionally, our guidance reflects a 747-8 scheduled price reduction that was in place at the time of the Vought acquisition that relates to moving down the learning curve of the new product. Also, our capital expenditures and investments in major new programs in this next fiscal year is $340 million to $360 million. So the guidance is also based on the current production rates, such as detailed in the press release. We have included the projected cost of 2 union negotiations that we expect to complete during the fiscal year. We have forecasted continued strength in the Aftermarket Services segment of the business. I want to talk for a minute about the pricing environment. And much has been said about Boeing's partnering for success program. This program is just one piece of the pricing environment that continues to challenge all manufacturers. It has really been part of our lives for several years now. And we certainly support the goals of Boeing's partnering for success program, as well as those cost reduction programs in place with our other customers. The reason we support these goals is that they align well with our own strategic direction. When I talked about improving execution, driving integration and controlling costs, it's all part of the strategy to increase the value proposition we can supply to our customer base. We have always felt like partners to our strategic customers and believe that when we help them succeed, is in our own best interest as well. In terms of new business. We see many opportunities that are out there. We talked a bit about the pipeline in our Investor Day meeting and certainly, without getting into a lot of detail, the pipeline is still full, opportunities exist and things are very robust. We have in fact had some significant wins recently that we hope to be able to announce soon, as soon as we get customer approval to do so. And certainly, the guidance is based on additional details highlighted in the press release. And as Dave pointed out, our FY 2016 guidance remains intact. Our $8.25 a share is what we had talked about back then. That's still is intact. And this is an important point because all of the issues that were described above on the slide were well known to us when we provided fiscal year '16 guidance since February, with the exception of the 747 rate reduction. The punchline here is that the plans we laid out at that time are still in place and we're still on target. So with that, I would like to open up the lines for any questions you may have.
Operator: [Operator Instructions] Our first question comes from Sam Perlstein.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: Wells Fargo. Can you talk a little bit more about the Aerostructures' top line and you highlighted the defense portfolio being down 10% or 15% and the 67 and 47. But what are you assuming with regards to the business shed aspect of it, do you deliver any Global 7000s, 8000s this coming fiscal year or is that business shed all the Gulfstream side?
M. David Kornblatt: On the Aerostructures side, business jets is primarily Gulfstream, but we certainly have some work with Cessna and other customers. They're kind of all Gulfstream, but those are the big programs. All of military is not down 10% to 15%. It's a few programs that we highlighted because C-17 is indeed flat. So the military business will not be down that much. And in fact, including the acquisitions, military overall will be flat for the year. But it's a few programs mostly V-22, H-60 and C-130 where we see sort of 10% plus or plus declines.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: But is business sheds flat within Aerostructures in fiscal '14?
M. David Kornblatt: Slightly down.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: And just within the ranking of your backlog with, I see C-17 and C-130 really dropped down, how much of that is the market over the next 24 months versus the adjustment you mentioned in terms of how that was being calculated?
M. David Kornblatt: I think the adjustment did not force any of those -- did not have any impact on where those fell in the top 10.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: So that's just more where the C-17 falls once you get out in 2015?
M. David Kornblatt: That's right.
Operator: Our next question comes from Yair Reiner.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: Yair Reiner from Oppenheimer. If I look at the guidance for next year and I assume as you guide that structures is going to have better operating income and Aftermarket has better operating income, it looks like for systems, you're looking at operating profit being up somewhere around $20 million for the year. Which I guess includes both the contribution from GPEX and Embee, plus anything organically from the base business. I guess it strikes me as somewhat small, relative to the investment you've made in these 2 acquisitions over the last few months?
M. David Kornblatt: Yes, Yair, I don't think it should be. I think that what we have indicated was that Embee would come out slightly above our current average and that acquisition is pretty much at the ground running. But it's relatively small. We were very clear that Triumph Engine Control Systems would start out life in Triumph at being dilutive to our margins, but that we saw tremendous potential there for it to improve. And so having owned it only for 12 days in fiscal '13, fiscal '14 will not be the year that margins go dramatically higher. We think it will improve. So I think we went out of our way to indicate that, that clearly would be dilutive and that's really what would be driving down system -- Aerospace Systems' margins in fiscal '14 because a $200-million acquisition in that segment is rather impactful, but there's nothing bad happening to the rest of the companies.
Jeffry D. Frisby: And I'd just -- I'd like to add that the Engine Control Systems acquisition, we do feel over time is going to really provide a tremendous value to the company and the margins, as Dave alluded to, will not in fact be dilutive as we move forward in the calendar.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: Okay. And then on Aerostructures, the cumulative cash was negative in the quarter, you stated repeatedly in the past it's going to be positive, sometimes negative. I guess what's interesting is there's certainly been a pattern and I think that over the last 8 quarters and all but one quarter, the cumulative catch has trended downwards. I was wondering if you could kind of help explain why we see these trends and where we might see them begin to reverse perhaps.
M. David Kornblatt: Yes. First, some commentary on that. It's not exclusively, but it's largely 47. And there's no doubt that we've had some challenges with that program. Now the program is solidly profitable. So this is just a reduction in where the margins we thought they would be a quarter ago, still not a good thing, but still a good program. And there's just been issues, we have new leadership in one of the factories and we think we're going to turn the corner on that. Also, keep in mind that only the former Vought business is on an accounting method that triggers key in patches, so many of the synergies, in fact the majority of the synergies at this point are profits that show up in the heritage companies. And so there is increased profit and increased margins that in fact margins at our heritage companies are up, partially because of the work transfer from Vought. So it's sort of a mixed bag there. But we would hope that they start to turn positive again. But again, it's been mostly 47. By the way, we have a number of contracts that are positive as well and this is just a net, which is attributable to 47.
Operator: Our next question comes from Julie Yates Stuart.
Julie Yates - Crédit Suisse AG, Research Division: Credit Suisse. Dave, can you update us on where you think you can take margins longer term in Aerostructures. I know you don't -- you're not willing to give a longer-term target, but I think in the past, you said you still have a couple hundred, more multiple hundred of basis points to go. Is this still the case from the 17% level in '13 even with the rate cut and the military pressure and a challenge in pricing environment?
M. David Kornblatt: Yes. I mean, absolutely. I think that we have that potential and we're not backing off yet. Obviously, rate cuts make that difficult or more difficult, but when we look at our companies and look at who's performing well and who needs to improve, we definitely see a path towards higher margins.
Julie Yates - Crédit Suisse AG, Research Division: Okay, great. And then I know you mentioned that defense would be down and that was assumed in the guidance, but is there a specific growth rate that you're assuming and what does that assume for sequester?
M. David Kornblatt: I'm sorry, Julie. You cut out there for a moment. Can you repeat that?
Julie Yates - Crédit Suisse AG, Research Division: Sure. Just what are your assumptions on the military in FY '14 in guidance and does that embed sequester?
M. David Kornblatt: No. I mean, I think at this point -- I think sequestration would hurt the aftermarket first, then spares. I think at this point, we have confirmed POs for a majority of our work. I mean, I guess if you envision some different version of sequestration where it confirmed orders mid-production get canceled, we don't expect that. We see that the production rates we have for '14 being pretty solid. But as I said, V22, H60, C-130 are all down 8% to 12% just from the normal budget reductions, not sequestration. So I don't think we'll see a huge amount of risk on those down numbers for '14.
Unknown Executive: All right. I think you got it. The overall fiscal issues that drive pressures on the government budgets anyway regardless of how sequestration plays out is the larger macro issue that we're facing and I think it's interesting to note that most of the defense primes are spending a lot more time selling their vehicles, aircraft and others to foreign military sales. And we've seen a pickup there. And I'm not -- certainly it's not going to -- we don't anticipate that eliminating the impact of sequestration but it certainly is, I think, it's going to help stabilize the production environment.
Julie Yates - Crédit Suisse AG, Research Division: Okay. Great, and then one last one. Just Aerospace Systems margins in the quarter looked very strong, was that primarily mixed or what were the drivers there?
M. David Kornblatt: Well, I think Embee did from a what's clearly additive to margins at a very good quarter, which was asked after we had modeled in the acquisition. A little bit of help from Engine Controls. And again, the normal phenomena, the biggest piece was that when we looked at the aftermarket sales of Aerospace Systems, those were up nicely. And that's by the largest contributor to the margins.
Operator: Our next question comes from Noah Poponak.
Noah Poponak - Goldman Sachs Group Inc., Research Division: Goldman Sachs. So clearly, the path to the fiscal '16 revenue target wasn't as linear as I guess we all have thought. Can you maybe just -- I get what you're saying the drivers are that being 767, 747-8 and then military. Can you maybe just specifically quantify the revenue decline from those 3 items in fiscal '14?
M. David Kornblatt: I don't think we want to get in the shift side values. I mean, there's -- it's well over $100 million if you're looking at military reduction, the whole and 67, which by the way will snap back in the future. So by '16, we believe 67 rates probably at higher values because of the changes that will have to happen for tanker will largely come back to '13 levels. We're not changing 47 at this point long term. But if you're asking what's the impact of less V22s, less 860s and C-130 in the 2 commercial programs, it's well over $100 million.
Noah Poponak - Goldman Sachs Group Inc., Research Division: And that, everything you just stated, gets you to the totality of your revenue headwind in fiscal '14 versus '13?
M. David Kornblatt: Well, those are the big moving pieces. I mean, if we have one less G450, that's a headwind. But I'm giving you the highlights.
Noah Poponak - Goldman Sachs Group Inc., Research Division: Right. And then you sort of alluded to it there but you then would have to grow -- you'd have to go from close to flatter organic revenue growth this year to a mid- to upper single-digit organic revenue growth profile 2 years consecutively to get to that $4.5 billion longer-term target. Get that the 67 will see that easier comparison, but 47-8 probably doesn't get better. Military probably doesn't get better. You're getting closer or you're getting to higher rates on other legacy programs that are still growing. I guess I just struggle to see why you have that significant of a snapback in the total company organic revenue growth. Are there any other drivers there you can help me understand?
M. David Kornblatt: Yes. I mean, one is the Bombardier Wing by '16 should be meaningful. And as Jeff alluded to, we've had a couple of nice wins that not acquisitions but program wins that we would love to announce but our customers have either requested or mandated that we not do so, so we have to respect their wishes. So there will be some nice wins that we announced that I think make that 8% or whatever -- the high-single digits pretty achievable.
Noah Poponak - Goldman Sachs Group Inc., Research Division: Okay. And then just one other question, basically the same question but on the margin line, as a follow up to Julie's question. If I take the long-term revenue guidance target and the long-term earnings guidance target, I think I can get there with a segment operating margin somewhere in the mid-17% range. That's a segment operating margin you guys have already posted. It's not that much higher than where you ended fiscal '13. That'll be 3 years of incremental margins, 3 years of more cost reductions. You'll have the full accretion benefit of the Jefferson Street move whereas you have none of it in fiscal '13. How much of that is just -- it's a long-term target, you want to layer in some conservatism and there's upside to that? Or how much of it is -- there are a handful of things going the other way but I'm not factoring in?
M. David Kornblatt: I think it's a little bit of both, Noah. I think that there will be some price reductions, so we modeled in price reductions whether it's partnering for success or other customer initiatives. We will have some programs where revenue goes down, hopefully margins stay even. And certainly when you're given a 3-year target, you're not going to be pushing the edge. So it's a lot of moving pieces but I don't think we're not hedging it by $1 or $0.50. I mean, is there a little conservatism? Sure.
Noah Poponak - Goldman Sachs Group Inc., Research Division: Anything else specific going against you, you can call against pricing?
Jeffry D. Frisby: I don't think we see a lot of pressure from commodity costs or those things now.
Operator: Our next question comes from David Strauss.
David E. Strauss - UBS Investment Bank, Research Division: UBS. Specifically on V22, you called it 10% to 15% decline note. Is that reflecting the move down already in rates from roughly 40 year to 20 year? I don't think that at the Bell level that's not supposed to happen here for a few years but are you already seeing it on your end?
M. David Kornblatt: We were at 40% and we're going to be down about 15%. So about 6 years is what we see.
David E. Strauss - UBS Investment Bank, Research Division: Okay. So it's fair to think about that there's still another step down on that program to come?
M. David Kornblatt: Absolutely. Yes.
Jeffry D. Frisby: But don't discount entirely the fact that there is likely to be a robust foreign market for this aircraft.
David E. Strauss - UBS Investment Bank, Research Division: Right. Okay. And Dave, you highlighted in fiscal '15, I believe, is lower pension funding that you'd been showing before by about $40 million or so. Is that permanent or is that just a push-out as part of the Hill [ph] legislation? And what's the plan in terms of what you're going to do with the extra cash?
M. David Kornblatt: Well, I think the extra cash would be available for the normal things. So when we think of extra cash, we think of debt reduction and acquisitions or the ability to expand capacity. And as far as the number, we believe that with 1 more solid year, meaning fiscal '14, of very large contributions, when we look out, we're not specifically taking advantage of the funding release there. It's more making sure that the plan does not get overfunded, because in a frozen plan being overfunded is not a nice place to be. So we think that we would step it down a little bit and make it more even going forward. So that if discount rates snapback, if some of the things we're looking at to take part of the obligation off the books completely, we never want to be in an overfunded position in a frozen plan. But we're not using some special loophole to reduce our contributions. That would be what's required.
David E. Strauss - UBS Investment Bank, Research Division: Okay. And you mentioned a couple of times Boeing's partnering for success program. Have you specifically signed up for it? What have you signed up for? Is it across-the-board in terms of your product that you supply into Boeing? Or does it differ by specific program? Just some color on exactly if you signed up for them and what you've signed up for?
Jeffry D. Frisby: I think I made my statement about how we're partnering with all of our customers. We've certainly -- as I've said before, we're supporting the Boeing's partnering for success program and I don't think there's a one-size-fits-all in these types of things. So I don't think I'd really like to get into any of those details.
M. David Kornblatt: David, I would say that they all have different flavors, too. In some cases, a small reduction is almost viewed as a toll to get new work. And so when we evaluate the ability secure more work, in others, they want to price down, period. In others, it's giving us more work but lowering the mark, lowering some price.
Jeffry D. Frisby: Yes. I want to add one other thing. Partnering for Success is the new catchphrase from Boeing and most of our customers have their own phrases for whatever it is that they want to use to reduce our prices. But this is not anything that's particularly new. It now has a name. But we have been living in a deflationary pricing world for several years now. Most of our long-term contracts that we have entered into with Boeing have had deflationary pricing. And as a result, our cost reduction activities have been in high gear for many years so that we can outpace with our cost reductions any type of margin degradation that we might see. So I guess I don't want to overfocus on a particular program because this is just finally got a name. But we've been living in this world for a while.
Operator: Our next question comes from Peter Arment.
Peter J. Arment - Sterne Agee & Leach Inc., Research Division: Sterne AG. Jeff and Dave, question I guess on the Aftermarket Services. This was, I think, one of the lower-growth quarters we've seen more recently. Was this just more or less a tougher comp or comparison? Or do you see something changed in the regional markets that you're in?
M. David Kornblatt: Clearly, a tough comparable and we did see the -- I think it lasted a little longer than it might have. But we talked last year that what drove some of the large Q4 was the Delta retrofit program. And we had expected that to sort of sunset early. Delta remains a great customer, but as far as the retrofit program. And this quarter, we did see some meaningful declines. So what you saw was sort of the ramp in FedEx from a new business perspective, slightly outpacing the end of that program at Delta. And it was an awfully difficult comp.
Peter J. Arment - Sterne Agee & Leach Inc., Research Division: Okay. That's what I understood. And then on the -- and just for the outlook that you mentioned on -- continued strength in the Aftermarket Services. You did 5% growth for the year. Is that -- that's kind of -- just a mid-single digit, is that a good goal that we should be thinking about for '14?
M. David Kornblatt: About that. I mean, I think that what we indicated was that we'll be probably flat as a segment or up a couple of million but when you think about replacing the sale of the 2 instrument companies, I think that we'll get to like 6% in the model or something like that.
Peter J. Arment - Sterne Agee & Leach Inc., Research Division: Okay. And then just 1 related to Aftermarket. I know that you have a decent amount of spares volume within Aerospace Systems, both commercial and military. In particular, I guess on the commercial piece side, I assume the military piece is soft a little bit, because of op tempo. But what are you seeing on the commercial piece and how should we think about that going forward?
Jeffry D. Frisby: I think we still have opportunities. We're not like the GEs of the world in that we have -- I don't think we do such a good job of capturing all of our market yet. So I think we have some great opportunities in front of us. So even if we were to say that on a macro level, we see a slight reduction in that, we have more than an adequate ability to pick up our own market share and still see an improvement in that area.
Peter J. Arment - Sterne Agee & Leach Inc., Research Division: Okay. And just want one last. Just want to circle back with you on this. Partnering for Success and obviously, yes, as you've given a lot of color and Boeing has given a name to it. But if they're looking for double-digit price decreases over essentially a 5-year period, is that anything different than what you've previously seen or again, is it just the way the flavor of the month regarding this program?
Jeffry D. Frisby: I would not attribute the phrase flavor of the month to this program. I would not do that. But I would say that this is not, in its scope, it's not largely different than what we've seen in the past.
Operator: Our next question comes from Myles Walton.
Myles A. Walton - Deutsche Bank AG, Research Division: Deutsche Bank. Jeff, could you maybe -- I know you can't, you're don't have the authorization to dispose the contracts themselves that you've won, but can you talk maybe about the precise scale of them a little bit more maybe on the markets where you're seeing the opening of opportunities whether these are expansion of ship set or new products and whether or not it's kind of Tier 1 design-build or more build-to-print?
Jeffry D. Frisby: I think probably, we'd say we really can't say all of the above because you covered a lot of different things and that would call out a lot of contracts. But we are seeing opportunities in all of those areas. We're seeing -- I guess as close to all of the above is I could get because we're seeing and winning some build-to-print contracts or winning some design contracts. We're winning some new programs. We're winning some existing programs and in different tiers and they are of significance. And I'm really sorry that I can't announce these things because they are exciting things and then when you hear about them, you'll understand that they are a big part of our strategy going forward. So we'll announce this as soon as we can.
Myles A. Walton - Deutsche Bank AG, Research Division: Just so I'm clear that they're big enough that they make an impact in '16? And they come on quick enough?
Jeffry D. Frisby: Yes. They're significant enough for us to have -- and we don't do press releases for every $10,000 contract we win. But these programs that we're going to announce, we would have announced because of their significance in size.
Myles A. Walton - Deutsche Bank AG, Research Division: Okay. Great. Dave, on the cash flow, just want to understand or interpret some -- the cash for debt reduction in the press release. Is that including the cash you have in the balance sheet? Or is that the number you talked about in the press release is available for debt reduction? Is that what you're -- it's almost free cash flow after dividends?
M. David Kornblatt: The latter. That's the non-exclusive cash. It started with operating income, add-back D&A, working capital, less interest, cash taxes, pension and CapEx and dividends.
Myles A. Walton - Deutsche Bank AG, Research Division: So okay. So that's the 150?
M. David Kornblatt: Yes.
Myles A. Walton - Deutsche Bank AG, Research Division: I think you have alluded to it with the size of the divestiture, did you say it was 6 points to aftermarket?
M. David Kornblatt: About that. It's around $20 million, $25 million.
Myles A. Walton - Deutsche Bank AG, Research Division: Okay. And then the last one, you gave the '15 pension expense or income, rather. And it's, I would day, a pretty good growth year-on-year from '14. Your crystal ball for '16 and what's baked into the A25 in the '16 target, is there another step up there?
M. David Kornblatt: Modest. But yes, I mean, this thing just keeps producing better and better results. So it might be -- I think it's in the 75 range or so.
Myles A. Walton - Deutsche Bank AG, Research Division: So about 120 basis points of expansion from '14 to '16, you can get from that?
M. David Kornblatt: Right. I'll trust you on the math.
Operator: Our next question comes from Steve Levenson.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc., Research Division: Stifel. Sorry to go back to Partnering For Success, but I know you'd said you'll be protecting your margins. Are you able to do that all on your own or are you depending in any way on Boeing for better pricing on some of your materials?
Jeffry D. Frisby: It's a partnership, Steve. There certainly are -- Boeing does provide us a benefit of when they have some of their -- for example, you are well aware of their titanium supply agreement, those kind of things are very helpful. There are some benefits that Boeing is providing and not the least of which is also helping us to implement some value engineering changes which takes the cost out of their airplane and takes the costs out of our manufacturing costs to build the part of their airplane. So it is truly a partnership. Some of it comes from of the supply chain leverage that Boeing can provide and some of it comes from the engineering support and some of it comes from the enhanced volumes that they're providing.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc., Research Division: I just know sometimes when there's like a limited partnership, limited really has a big meaning. So thanks for the additional information.
Jeffry D. Frisby: I hear you on that.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc., Research Division: Second, on your top 10 list, I know it's ranked by backlog, that's the way you've always done it. If you resorted it by contribution to operating income, would it be materially different or look pretty much the same?
M. David Kornblatt: In case if you look at it as sales, I don't think it will be very different, Steve.
Operator: Our next question comes from Ken Herbert.
Kenneth Herbert - Imperial Capital, LLC, Research Division: Imperial Capital. I just wanted to follow up on Jefferson Street, I mean, I know obviously you've got a fair amount baked in for '14 to accommodate that. How would you sort of characterize the risk with the move and specifically to the timing of when you might start to see the benefits coming out of '14 and into '15?
M. David Kornblatt: Well, '15, as we've said in Investor Day, should be a monster improvement over '14. But as compared to '13, it's a couple of million dollars, maybe $5 million at the operating income level and $1 million given the interest expense and drag on at the net income level. So right now, we're on budget, on time. We believe we'll be able to hit the model we shared with you at Investor Day. So I think '15 will have some tailwind as compared to '14, for sure. And that, that $45 million of expense should disappear. And then it really gets interesting in '16 when it turns largely positive.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc., Research Division: Okay. So...
M. David Kornblatt: But you know, we're building a brand-new building and moving a lot the parts that have been at Jefferson Street for a long time. There's obviously risk and we built in disruption to the model. It's in those numbers. So we -- right now, we think the model holds but we hope we beat it.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc., Research Division: Okay. Yes. No, definitely. And I guess it's fair to say when you've obviously you are well into construction of the new facility, you don't see from the timing standpoint, everything looks to be on track at this point?
Jeffry D. Frisby: Yes.
M. David Kornblatt: Yes.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc., Research Division: And then as you go through that move, I mean, clearly you've taken the reserves and done what you need to do from a customer standpoint, are there any other issues that have come up with either your government, your military, your commercial customers as part of this transition that may in fact be creating new opportunities to the new facility. Obviously, you're going to be in a better cost standpoint or how should we be thinking about that?
Jeffry D. Frisby: Certainly, we're thinking about that continually and there's no doubt that this new facility which will be state-of-the-art, which be lower cost, which will have a very capable workforce, experienced workforce, is 1 that should provide us a great deal of opportunity. And we're counting on that happening.
M. David Kornblatt: But we were clear at Investor Day that we have to pull it with our customers. Some customers may help fund it in exchange for cost reductions, price reductions. But what we were clear at Investor Day was we have not included any new business capture because of the fact that Jefferson Street, now Red Oak, will now be competitive. And we do believe that there is new business win potential probably for the first time in a long time that can go into that facility or those capabilities. But that should all be incremental to what we showed you.
Operator: Our next question comes from Michael Ciarmoli.
Michael F. Ciarmoli - KeyBanc Capital Markets Inc., Research Division: Keybanc Capital Markets. Not to harp on this, but sort of the new business win, if we go back to the Investor Day's slide deck. I think between February and April, you kind of highlighted $400 million or so of cumulative awards. Can we assume that this is what you're talking and maybe about can you give us a sense of the probability or success rate of those awards that you laid out?
M. David Kornblatt: No. I think I'd like to just leave it in terms of the fact that the opportunities are still out there, that we're getting new ones. I won't say everyday but certainly every month, we're getting new opportunities to look at and then we are continuing to hone our ability to select those opportunities that we think will be most competitive on and most successful in taking advantage of once we win them. So I think that from a new business standpoint, there's no shortage of opportunities that are out there in front of us?
Michael F. Ciarmoli - KeyBanc Capital Markets Inc., Research Division: Okay, that's fair. And then maybe just one last one. If you could give us an update on the current M&A environment and just looking at that fiscal '16, I'm assuming that's still the current base of business, just including Embee and the pump and control, no additional acquisitions?
Jeffry D. Frisby: That was what we had laid out as our model and that does not mean that we're not still active in the acquisition world. And so again, this is another pipeline that certainly has a lot of activity and we will continue to participate as long as it makes sense and matches our strategy going forward.
Operator: Our next question comes from Erik Hugo.
Eric Hugel - S&P Equity Research: S&P Capital IQ. Dave, can you talk about the SAP system implementation? Why is it moving sort of progressing so slowly? I thought by now you would have been maybe sort of seeing a pass to getting ahead of the curve. Can you talk about sort of, is this decentralized, sort of construction to the company that you're having a problem with?
M. David Kornblatt: No, Eric. In fact, maybe I'd rather talk about Partnering for Success. But I think -- I can't give you a specific crisp answer to whether it was the lack of commonality of the systems in Aerostructures before, how long the systems have been used, whether SAP was the right system for us. I know we're working it hard. I still sit on monthly, on weekly calls. We are making progress but we're continuing to spend money to make that happen and it's a disappointment. And so your expectation is completely understandable but that's not where we're at yet. We're making progress, don't get me wrong. But we were hoping by this time to have the path to some of the benefits that were in the business case and that's just not where we're at yet.
Eric Hugel - S&P Equity Research: In the difference between the 630 to 640 guidance and the 665 -- 565 to 575, is that all Jefferson Street or is there other sort of like Embee and Engine Control sort of integration costs in there or is that just all Jefferson?
M. David Kornblatt: I don't think it's either. I think it's our style just to give a range, so we have a budget. We look at it and we usually we give a little bit of range when we're giving our first guidance of the year.
Eric Hugel - S&P Equity Research: No. The difference between the 2 range?
M. David Kornblatt: I thought you're talking about the dime. 100% Jefferson Street.
Eric Hugel - S&P Equity Research: Okay, so you don't have anything in there. We shouldn't the other or you're not modeling in other more integration cost for engine control?
M. David Kornblatt: No. We're not. I mean if there's something that comes up during the year that makes sense to do and impactful, we'll let you know what it is. But no, the entire difference is Jefferson Street.
Eric Hugel - S&P Equity Research: Fair enough. And just within the sales guidance, I guess you're giving a total range 3% to 8% growth. What's the organic growth implied in that?
M. David Kornblatt: It's about flat.
Operator: Our next question comes from JB Groh.
J. B. Groh - D.A. Davidson & Co., Research Division: D.A. Davidson. I have a question on 777X. It sounds like we're getting a little movement there in terms of authorization. Could you talk about how you view the opportunity in terms of incremental business there, given your catalog is obviously a lot broader now than it was many years ago.
Unknown Executive: I think generally we feel good about the opportunity on 777X. As you pointed out, we have an awful lot that we can offer and -- so it's a little early in the day even though we already have discussions already with several parts of Boeing about how we might participate. But we certainly believe that it will be a good program for us.
J. B. Groh - D.A. Davidson & Co., Research Division: Is that potential? I know you don't want to get ships and values, which I understand, but is it 20% more, 10% more, 50% more?
Jeffry D. Frisby: You're right. I think I just don't -- it's certainly a much larger wing. So as such, we will be able to other bid more square footage on that. But I guess I will say at this point, we will not be building the entire 777X wing, how's that? At this point, it's a little early to say what we're going to end up with, but I do think we'll participate on the program and hopefully, we'll be in good shape on that going forward.
J. B. Groh - D.A. Davidson & Co., Research Division: And then Dave, you laid -- you sort of parsed out the inventory increase, could go through that again come I couldn't quite fast enough?
M. David Kornblatt: Yes. In round numbers, you're talking about the increase for the year?
J. B. Groh - D.A. Davidson & Co., Research Division: Yes, part of it was putting stuff on the ground, part of it -- ...
M. David Kornblatt: advances which is face of the balance sheet were down $40 million. Bombardier Wing was about $50 million. The acquisitions were about $40 million, so that gets you the big chunks there. And then really, there was a large increase on 47 as well. So when you take out those 4 items, the rest of the company's in-total performed reasonably well. I mean we, but had some that were up more than they should've. we have some companies that we have very nice reductions those are the big moving pieces.
J. B. Groh - D.A. Davidson & Co., Research Division: And then just lastly a housekeeping matter. Now that moving cost at any quarter, is that going to be fine-loaded just from a modeling perspective?
M. David Kornblatt: We're going to do that, it's not going to be in the EAC. That's going to be sort of in the SG&A line, called out separately. We recognize that as incurred. So I think by its nature, it's going to ramp during the year, but it'll get more as the year progresses. But I don't have an exact estimate for you at this point.
J. B. Groh - D.A. Davidson & Co., Research Division: And then the legal would kind of peak prior to that trial date, probably?
M. David Kornblatt: I think if everything holds, that will be a logical assumption, but I'm not sure that I would apply logic to this.
Operator: Our next question comes from Yair Reiner.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: From Oppenheimer. Just a quick follow-up on Aerospace Systems in the quarter. 8% organic growth was quite robust and it sounds like aftermarket was particularly strong. I guess that's a bit different than what we've seen from a lot of your counterparts. I was wondering if you could just give us a sense of where the strength came from. Was it more commercial? Was it more defense and how do you see that kind of playing out over the next couple of quarters? Thank you.
M. David Kornblatt: I think it was pretty balanced. I mean, I know that as we've talked about, there's some of the large aftermarket pieces in there, particularly sometimes in Q4 is some Foreign Military Sales. But it was -- I think spares and aftermarket was -- I didn't have a noticeable difference in commercial versus military. I mean the commentary I heard is frankly that on certain repairs where source inspection is required, the government might need moving a little slower than they once were. So but other than that, there's no huge disconnect between the markets.
Operator: Are there any additional questions? Since are there any additional questions? Since there are no further questions, this concludes the Triumph Group's Fiscal 2013 fourth Quarter and Year End Earnings Conference Call. This call will be available for replay today after 11:30 a.m. Eastern Time through May 9, 2013, at 11:59 p.m. You may access the replay system by dialing 1 (888) 266-2081, and entering access code 1610837. Thank you all for participating, and have a nice day. All parties may now disconnect.